Unidentified Company Representative: Good morning. On behalf of Telecom Argentina, I would like to thank everybody for participating on this conference call. The participants of today's conference call are Roberto Nóbile, Chief Executive Officer; Gabriel Blasi, Chief Financial Officer; and myself [indiscernible]. The purpose of this call is to share with you the results of our fiscal year 2021 and fourth quarter and December 31, 2021. If you have not received our press release or presentation, you can call our Investor Relations office to request the documents or download them from the Investor Relations section of our website located at inversores.telecom.com.ar. I would like to go over some safe harbor information and other details of the call. We would like to clarify during the conference call and Q&A session we could mention certain forward-looking statements about Telecom's future performance, plans, strategies, and objectives. Such statements are subject to uncertainties that could cause Telecom's actual results and operations to differ materially. Such uncertainties include, but are not limited to, the effects of combining industry and economic presentations, possible changes in the demand for Telecom's products and services, the effect of potential changes in general market and other economic conditions in legislation and the impact of the outbreak COVID-19 on the global economy and specifically on the economies, the countries in which we operate as well as our operations and financial performance. Our press release dated March 9, 2022, a copy of which was included in our Form 6-K and sent to the SEC, describes certain factors that may affect any forward-looking statements that could be mentioned during this call. The company has reflected the effects of the inflation adjustment adopted by Resolution 777/18 of the Comisión Nacional de Valores or CNV, which establishes that the re-expression will be applied to the financial statements for intermediate and special periods ended as of and including December 31, 2018. Accordingly, the reported years corresponding to fiscal year of 2021 included the effects of the adoption of inflationary accounting in accordance with IAS 29. In this presentation, we will also include figures in historical values, which are easier to understand. Our press release is complemented by our earnings presentation. The audience should read the disclaimer contained in Slide 1 and Slide 2 of the presentation. The agenda for today's conference call includes our business and financial highlights, and we will end the call with a Q&A session. Now let me pass the call to Gabriel, our CFO, who will start with the presentation.
Gabriel Blasi: Moving to Slide 3. Thank you, Luis. I will try to summarize our highlights for fiscal year 2021. Our main brands have been consolidated under personal flow and telecom. We increased our prices during 2021 according to local inflation. Our 2021 annual CapEx amounted to $833 million, and our CapEx to revenue ratio was 20.1%, well above industry standards. We are investing in the best technology to maintain the solid performance of our network. We have achieved an EBITDA margin of 31.2%, continuing with our cost reduction initiatives despite the higher local inflation. Our bad debt is currently 1.9% of our total revenues, reducing significantly against 2020. This figure is currently below industry standards in the country, too. Our fintech company, Personal Pay is now available for android users and currently has more than 14,000 registered clients. Supporting our employees in terms of COVID-19 has been and will remain being a top priority. We have increased the number of clients versus fiscal year 2020 in our 3 main products. Núcleo, our subsidiary in Paraguay, continues to show a solid performance as revenues and EBITDA continue increasing in hard currency. Our main debt maturities in 2021 has been refinanced or repaid. Our cash flow generation is strong. We have been very successful tapping the local market with both issuances in pesos, inflation-adjusted or dollar-linked bonds. We continue to analyze additional drivers of growth in relation with our industry, both in Argentina and/or abroad. We are very much focused on improving our ESG standards, taking into account best tax practices. We have launched a new IR website, improving the way we communicate with our investors. We also improved our vendor financing sources, mainly through China Development Bank, Export Development Canada, Finnvera among others, in course. Moving to Slide 4 shows the company figures to fiscal year 2021. Telecom's revenues totaled $4.1 billion. Revenues measured in constant pesos grew 7% year-to-year. EBITDA generation remained strong, totaling $1.3 billion. Our EBITDA margin was 31.2%. Telecom mobile subscribers in Argentina amounted to 20.1 million, increasing in almost 1.7 million total clients when compared to fiscal year 2020. Broadband and Pay TV clients have also experienced increase year-over-year totaling 4.2 million and 3.6 million, respectively. Fixed voice subscribers without considering IP telephony lines amounted 2.4 million during fiscal year 2021. Our commercial strategy has allowed us to increase our total convergent unique customers to 2.1 million from 1.9 million versus fiscal year 2020, while currently 49% of our broadband customers have a mobile bandwidth. Finally, turning to our regional operations. We have 2.2 million mobile subscribers in Paraguay and 135,000 Pay TV clients in Uruguay. Slide 5 show the evolution of local inflation. Year-over-year inflation in Argentina as of December '21 has been of 50.9%. As demand inflation in January 2022 was 3.9%, we envisioned that the local inflation will remain high during 2022. The impact of our industry and inflation index is only 2.8%, as you can see in the lower part of the graph. Therefore, the impact of our sector on sale index is not meaningful. Slide 6 show our price adjustment during 2021 and in January 2022. In mobile, prices have increased 50% for postpaid plans and in similar percentage for prepaid. In the last half of December, mainly impacting 2022, the increase of our postpaid and prepaid mobile are 15% and 16%, respectively. In broadband, the prices of our DXL Services have increased 42% during 2021 and 16% in January 2022. Prices of our HFC and FTTH services increased by 43% in 2021 and 13% in January 2022. Our pay TV prices subscription have increased by 43% during 2021. Additional services, such as football pack and premium channels have increased up to 49% during the same period. In January 2022, our subscription for our pay TV services increases by 13% while additional services increased by 15%. Prices of fixed voice basic services were increased by 29% on average in 2021 and 16% in January 2022. Moving to Slide 7, we show the evolution of our products. On the mobile segment, postpaid subscribers have increased in almost 500,000 clients or 6.4%. Prepaid subscribers have increased in 1.2 million clients or 11.2%. Our postpaid and prepaid shares are 41% and 49%, respectively. Broadband accesses have increased in almost 90,000 and 2.2 year-over-year, mainly growing in the HFC and FTTH segments. In pay TV, we obtained 700,000 new accesses, which represent an increase of 0.5%, mostly leverage on the performance of our Flow platform. In fixed voice, the reduction of accesses has continued mainly in traditional fixed copper lines. On the other hand, our IP telephony accesses have increased in more than 370,000 lines. Moving to Slide 8 shows the evolution of our service revenues. Service revenues totaled almost ARS 396 billion, decreasing 7.7% in real terms versus fiscal year 2020 in a period where inflation was 50.9%. Our revenue breakdown as of December 2021 show an increase in the participation of handset sales and a decrease in fixed telephony and data services when compared to December 2020. The breakdown is as follows: mobile revenues, 38%; broadband revenues, 21%; pay TV revenues, 19%; fixed telephony and data revenues 14%; equipment sales revenue 7%.  If we move to the following slide, we describe the main trends in our mobile and broadband businesses. As of December 2021, postpaid subscribers amounted to 41% of our total customer base. The chart in the upper left shows the competitive landscape wireless per month. Personal is in blue collar, positive numbers show incoming clients and negative numbers of client loss against the competition. During 2021, Personal has a positive net inflow of mobile clients. Mobile Internet usage has continued increasing, reaching an average of more than 4.2 gigabytes per user per month in 2021. In addition, there has been an important increase in broadband speeds. 70% of our total subs have a split between 50 and 1,000 megabytes per second comparing with 59% during our fiscal year 2020. This was mainly explained by the growth in HFC and FTTH connections. The competitive advantages of our network and products are summarized in the following slide. On 3 main strategic. Our 3 main strategic assets are broadband, Flow as our IP TV service and mobile. Our broadband network has the best coverage around the country, consistently improving service. Average speed reached 85% -- 85 megabytes per second in the case of our FTTH network and 81 megabyte of our HFC technology, passing through 60% of total homes in the country. Flow is our premium IPTV product and is currently a meeting point for entertainment, allowing clients to have direct accesses to video, music, gaming and 2 other leading streaming applications in the market. Our mobile network is the fastest in the country, reaching almost 98% urban coverage and with the best download, upload speed as measured by speed test during December 2021.  Slide 11 shows the evolution of our business in Paraguay. Núcleo subsidiary generating $206 million and $100 million in revenues and EBITDA, respectively, during fiscal year 2021, growing by 11% and 22% in hard currency, respectively. Revenue breakdown was as follows: browsing services, 45%; voice, 16%; data, 7%; broadband 15%; TV services 8% and other services with approximately 9%. As of December 31, 2021, mobile customers totaled 2.2 million. Clients of [indiscernible] Personal and mobile financial services that our subsidiary provides reached almost 280,000. Fixed Internet services subscribers amounted to more than 196,000, growing 50% versus the fiscal year 2020. The pay TV segment Flow customer totaled 33,000 and in Personal HD 56,000. The fixed network deployment in the main cities of Paraguay has been increasing rapidly, growing 25% during fiscal year 2021 and reaching 569,000 homes passed. I will now pass the call to [indiscernible], who will go over our financial performance. Thank you, Luis .
Unidentified Company Representative: Thank you, Gabriel. On Slide 12, we provide an overview of our main financial figures. During the fiscal year of 2021, consolidated revenues grew by 39% on nominal terms, reaching ARS 357.3 billion. When analyzing said figure adjusted by inflation, revenues amounted to more than ARS 425 billion, showing a decrease of 7% in real terms. Service revenues show as 37 nominal increase. It is worth mentioning that our prices were frozen from March 2020 to December 2020. EBITDA increased by 29% year-over-year in nominal terms, thus generating an EBITDA margin of 31.9%. EBITDA margin in real terms was 31.2%. Operating costs before D&A decreased by 2% in real terms versus fiscal year 2020 as the company continued to manage the cost structure. Slide 13 shows the company's EBITDA and the impact of the different components of revenues and costs. Operating costs were 2% lower in real terms. During 2021, the company managed its cost structure in an efficient way as almost all of our costs announce experience a decrease or remain in line when comparing inflation. The exception being labor and handset costs. Salaries increases with unionized and nonunionized employees were in line with inflation range between 45% and 55%. Cost of handsets sold increased mainly due to the increase in prices and higher sales devices in Argentina. It is important to mention that our bad debt expense decreased by 51.1% versus fiscal year 2020, thanks to our strong strategy followed by the company to improve its collection efficiency. Our percentage of bad debt related to total sales is very low, 1.9% versus 3.6% in fiscal year 2020, and our collections are performing normally. In Slide 14, we show the evolution of our main business drivers in 2021 compared to the evolution of inflation. In the first half of 2021, our service revenues grew above inflation as we increased our prices in an average 20% in January and 10% in June. During the second half of 2021, while inflation accelerated, we increased our prices to match the evolution. New salary agreements for the 2021, 2022 period increased or were closed and increased our labor costs. In Slide 15, the company's net income totaled ARS 9.9 billion when EBIT was negative in real terms. The EBIT decrease in constant measuring unit is explained by the increase in D&A disposals and impairment of fixed assets, which increased almost 9% in real terms year-over-year. The increase was explained by PP&E and intangible assets out during 2021. Mainly due to the D&A increase and the inflation adjustment operating margins were minus 0.7% of consolidated revenues, while in historical figures, the same margin was 18%. In fiscal year 2021, the company had a net income of ARS 9.9 billion, mainly due to positive main financial results ARS 45.6 billion, partially offset by an income tax charge of ARS 33.3 billion. The positive financial results were driven by an improvement in FX results in real terms and inflation adjustment gains while the income tax figure includes a higher charge coming from the increase in the tax rate imposed by the local IRS. Slide 16, shows a summary of the company's CapEx in PP&E and intangible assets during fiscal year 2021, which amounted to more than ARS 85 billion for an equivalent of $833 million the official FX rate. This amount is almost 2% higher when compared to the same last year period. Our consolidated amount of CapEx amounted to 20% of our total revenues, which is a very important ratio according to global industry standards. Technical CapEx were mainly composed of installations and customer equipment or CPE. The balance was allocated to network and technology and to our international operations in Paraguay and Uruguay. During 2021, 212 new mobile sites were deployed, more than 2,216 existing sites were upgraded. We expanded our FTTH network over 10,600 new blocks. Additionally, we performed an overlay with FTTH in 4,400 plus HFC networks. We also increased the capacity of HFC access network, mainly into segmentation of areas. Additionally, we continue with the deployment of the first 5G network in Argentina at the new sites. We currently have 20 sites located in Buenos Aires city, Rosario and Atlantic Coast. Slide 17 describes our cash flow generation during fiscal year 2021 compared with the same period of 2020. Our cash flow generation is currently very solid. In 2021, the operating free cash flow amounted to approximately $527 million equivalent. The variation versus fiscal year 2020 is mainly explained by the decrease in our EBITDA in real terms. Slide 18 shows key figures for the fiscal year 2021 in constant measuring unit. Our gross debt amounted to ARS 266.7 billion as of December 31, 2021, decreasing 11.2% from December 2020. The company has cash and equivalents for almost ARS 31 billion, having a net debt of ARS 236 million. Our net debt-to-EBITDA ratio is 1.78x, remaining relatively stable versus fiscal year 2020. Slide 19 shows our quarterly evolution of some key ratios. Our bad debt to revenues ratio had a positive evolution in 2020, where it reached levels of 4%, mainly due to COVID-19. CapEx revenues has been increasing since the first quarter of 2020, remaining above 70% which is the average ratio for the industry. Gross debt to EBITDA remained in levels lower than 2x, while net debt to EBITDA was lower than 1.8x. Both ratios have been very solid when compared with [indiscernible]. Slide 20 shows the breakdown of financial debt. Our liability management transactions have been extremely successful. Total outstanding debt as of December 2021 amounted to $2.5 billion. As we have done in 2020, we have refinanced our loans with IDB and IFC in December 2021. We have extended our 2022 and 2023 maturities of [indiscernible] loans to new maturity [indiscernible] loans ending in 2024 and 2027. Our 2022 and 2023 debt maturities are very managed with almost 35% of our debt in those years being denominated in pesos. Due to international capital market conditions, we are currently expecting to continue accessing the local capital markets for any important financing need that we may have during this year. Slide 21 summarizes the financial transactions that we have done in 2021, showing how the company anticipate its financing needs, obtaining new sources of financing. During the last year, we successfully completed the issuance of Class 8 to 11 notes, issuing peso denomination -- peso inflation adjusted dollar bonds. Núcleo Paraguay completed the issuance of Series 4 and Series 5 notes. We also closed 2 new export rate facilities. The first one guaranteed by Finnvera in May 2021, and the second one by the Export Development Canada, or EDC, in January 2022. Finally, on December 15, 2021, we refinanced the loans with IFC and IDB changing the amortization schedule and more than doubling the average plant. With this, now we are more than pleased to answer any questions you may have. However, before we start, we would like to remind you how you can address your questions during the Q&A session, which we will open immediately. [Operator Instructions].
A - Unidentified Company Representative: We have a question coming from Marcelo Santos from JPMorgan.
Marcelo Santos: I have two. The first one is if you could provide a CapEx outlook for the year of 2022 and what would that depend on? Usually, you've mentioned like depending on how things go, you be higher or lower. So if you could provide that usual range, that will be very useful. And the second is besides this price increase that you have conducted in January, what would be the next one? Would that be one in June as well this year?
Gabriel Blasi: I'll take on the CapEx. Well, thank you for your question, Marcelo. Regarding the CapEx amount for this year, of course, it will be very related to the general evolution of Argentina in terms of what CapEx with foreign exchange rate and the reliability of dollars. Although we have good access up to now to U.S. dollars, and we have plenty of sources of financing, we can't escape from the general situation of the local market. And that will be clearly something we need to keep an eye on. Having said that, I would say that we are thinking in the range of $600 million as a general rule. Always remember that as we have this, I will say momentarily imbalances between inflation and the official foreign exchange rate, this may vary significantly. But for the time being, we are not planning to have at CapEx. I will say, pretty different to what happened last year, depending on the general evolution of Argentina. Today, we have a very good news with the signature with the IMF in the Congress. And of course, all that will help to clarify the situation. The second, I would prefer not to give you just an indication. We need to always advise in advance our price increases with 30 days, that's something the company does. But I might say that we are confident that we are -- might be able as of the present situation to keep on track with similar situation to what happened last year in terms of price increases. Of course, having said this, 2 important issues to consider. One, is that we have a gap that was generated during 2020 when we still couldn't recover, that represent about ARS 11 billion pending to fully recover. And the other aspect that you must having consideration, of course, is the general situation of Argentina regarding the speed of inflation. If inflation speeds up, it makes difficult year for us to catch up. If we think that the government is going to cope with the signature of IMF and what is proposed there, we might think that, that situation might change slightly in the trend, and that will help us to continue recovery.
Unidentified Company Representative: We now have another question coming from [indiscernible]
Unidentified Analyst: The first question was partially answered. So I will go directly to the second one. EBITDA margin was, I mean, hit in 2021, down to 31.2%, as you mentioned. What is your guidance for 2022? I mean do you expect these margins to recover slowly and return to more historical levels of 24 -- 34, I mean, 35%?
Gabriel Blasi: Inacio, thank you for your question. Well, although the company doesn't provide guidance, I will try to give you some color of how we approach to the EBITDA margin. EBITDA margin is mainly -- or the shape of the EBITDA margin is mainly affected, as you for sure see if you follow the company quarter-to-quarter, it varies significantly when we raise salaries, or we raise our prices. Those are the 2 main components that affect directly the EBITDA margin in the short run. In this type of very strong inflation environment, as you also can imagine, these 2 -- if they are not completely synchronized and they are not completely balanced, they might bring certain imbalances in the margin concurrently. I think that it will depend on how the inflation pace in the country follows. If the country goes to an acceleration process of inflation, it may be harder for us to keep up with the EBITDA margins as stated. If not, if inflation gets milder, it's much easier for us to go with that. Having said that, I would say that our expectancies in certain way are to keep EBITDA margins in good health like last year.
Unidentified Company Representative: We have a following question from Alonso Mesa from [indiscernible]
Unidentified Analyst: I have two questions actually. So the first one is, for me it is not quite clear what it says in real term, we're almost 8% lower than 2020 [indiscernible] base increase you were able to close inflation prices. So perhaps if you can clarify on that. [indiscernible] what are your thoughts on subscriber evolution for 2022?
Gabriel Blasi: Well, thank you for your question, Alonso, although you have some echo and I think that I hear properly, if not the case, please rephrase. Regarding -- yes, as you mentioned, when you compare with the inflation index, our evolution in real terms, the company income reduced 7% or 8%, but I will say that comparison is not completely fair. As you have saw in the presentation, the participation of our services in the index is pretty mild, it's less than 3%, meaning that when you simply adjust by inflation and make the comparison, you are putting a lot of additional components in inflation that have a very different outlook. As for instance, food, which is what has been constantly moving forward in Argentina at a very strong pace and has fueled most of the inflation pace. Having said that, as I recall, it is up to now with certain limits we have been able during 2021 to cope with inflation pace, meaning that we have been pretty consistent in terms of moving ahead at the same pace at inflation. But still, we are lacking of recovering the gap that was originated during the quarantine in 2020 that was with a complete freeze of prices. That gap still is pending to be recovered. As I also -- I already mentioned, if inflation pace gets milder, it's easier for the company to recover that. When the inflation comes down, it's much easier for us to recover those imbalances in the long run. When inflation continues to pick up, it's much more difficult here for us.  Having said that, I will say that we have -- if inflation pace this year behaves in a similar way than last year, meaning that it doesn't speed up its growth level, we think that we may be able to continue with this vis-a-vis trend coping with the inflation pace.
Unidentified Analyst: So you will say that 100% of [indiscernible] in sales and EBITDA is explained by inflation?
Gabriel Blasi: Okay. Well, EBITDA is not 100% because our -- we also have dollar income and dollar expenses which are pretty balanced. But 1/3 of the company cost is labor cost, which is directly related to the salaries increases and the inflation, the ability of the company to move the prices is very related to how we cope with inflation pace in our revenues, which this year, 2021, we have been pretty consistent in terms of coping with our cost. But as we mentioned, when compared to the general level of inflation in the economy, we lose 9%. But if you make that comparison, for instance, regarding food, the price increase in foods in Argentina is much, much higher. It's probably doubling that.
Unidentified Company Representative: Well, for the time being, we have no more questions, and we wish to thank you very much for participating in our quarterly conference call. Please do not hesitate in conducting our Investor Relations department for any further inquiries you may have. Good morning to all and have a nice day. Thank you very much.